Operator: Good morning, my name is Rishi. And I will be your conference operator today. At this time, I would like to welcome everyone to the Aecon 2019 Second Quarter Results Conference Call. [Operator Instructions] Thank you, Mr. Borgatti. You may begin your conference.
Adam Borgatti: Thank you, Rishi. Good morning everyone and thanks for participating in our second quarter 2019 results conference call. This is Adam Borgatti , Senior Vice President, Corporate Development and Investor Relations speaking. Presenting to you this morning are Jean-Louis Servranckx, President and CEO; and David Smales, Executive Vice President and CFO. Our earnings announcement was released yesterday evening and we have posted a slide presentation on the Investing section of our website, which we will refer to during this call. Following our comments, we will be glad to take questions from analysts. As noted on Slide 2 of the presentation, listeners are reminded that the information we are sharing with you today includes forward-looking statements. These statements are based on assumptions that are subject to significant risks and uncertainties. Although Aecon believes the expectations reflected in these statements are reasonable, we can give no assurance that these expectations will prove to be correct. With that, I'll now turn the call over to David.
David Smales: Thank you, Adam. Good morning, everybody. I'll touch briefly on Aecon's consolidated results and then review results by segment, before turning the call over to Jean-Louis. Turning to Slide 3, revenue for the three months ended June 30, 2019 of $867 million was $113 million or 15% higher, compared to the same period in 2018. With increases in each of Aecon's two segments. On a like-for-like basis, excluding the contract mining business sold in November 2018, revenue was 22% higher in the quarter. Slide 4 outlines the impact on results of the sale of the contract mining business. Adjusted EBITDA for the second quarter of 2019, a $57.3 million, a margin of 6.6%, increased by 38% compared to adjusted EBITDA of $41.4 million, a margin of 5.5% for the second quarter of 2018. Adjusted EBITDA on a like-for-like basis increased by 26% in the quarter. Likewise, second quarter operating profit of $28.1 million and diluted earnings per share of $0.31, all showed considerable improvement compared to the same period last year on the back of higher volume and improved margins. Reported backlog at the end of the quarter, $6.8 billion compared to backlog of $6.4 billion a year earlier. Now turning to results by segment. As noted on Slide 5, construction revenue of $847 million in the first quarter was $115 million or 16% higher than the same period last year. This increase was driven by higher revenue in urban transportation systems and civil operations in both Eastern and Western Canada, as well as from nuclear operations mainly related to refurbishment work. These increases were partially offset by lower volume in the conventional industrial sector, following the sale of the contract mining business in November last year, and from utilities work.  Adjusted EBITDA in the Construction segment, $44 million a margin of 5.2% was up by $12 million compared to $32.3 million, a margin of 4.4% in 2018. This was primarily due to a combination of higher volume and improved gross margin, as well as from the sale of the contract mining business, which contributed adjusted EBITDA of negative $4 million in the second quarter of 2018. New contract awards of $848 million in the second quarter of 2019 were significantly lower than the same period last year with two large projects the Finch LRT and Montreal REM LRT were awarded in the second quarter of 2018. Construction backlog at the end of the quarter was $6.8 billion, which is $287 million higher than the same time last year. Turning to Slide 6, concession revenue for the second quarter was $60 million, an increase of $7 million or 13% compared to the same period last year. This was primarily a result of the Bermuda International Airport Redevelopment Project, including the impact of increased construction activity related to the new airport terminal. Adjusted EBITDA in the Concessions segment, $23.2 million, a margin of 38.5% was up by $4 million compared to $19.2 million, a margin of 36.5% in the same period last year. The increase was due to higher revenue from Bermuda operations and increased contribution from management and development fees for Canadian concessions. At this point, I'll turn the call over to Jean-Louis.
Jean-Louis Servranckx: Thank you, David and good morning everybody. Turning now to Slide 7. Aecon's diverse and resilient business model is well positioned to deliver continued strong and stable results. Our Construction segment is aligned to the significant infrastructure investment commitments, by all levels of government across Canada, as well and by the private sector. Our concessions segment is actively pursuing a number of large-scale infrastructure projects that require private finance solutions, as well as participating of the concession out on the five P3 projects identified on the Slide 7. In June, we were pleased to announce that GrandLinq Contractors as a construction consortium for which Aecon was the lead design build partner reached substantial completion and turnover for Revenue Service for the ion Stage 1 LRT project in Waterloo, Ontario. The GrandLinq consortium in which Aecon Concessions has a 10% equity interest, will now manage operations and maintenance over the 30-year concession period. Turning now to Slide 8, as David mentioned earlier our backlog at the end of the quarter was $6.8 billion. Backlog to be worked off in the next 12 months is of $2.4 billion, increase $400 million over the last year and approximately two-thirds of backlog is for work-off beyond the next 12 months, providing significant visibility and stability to Aecon longer-term outlook. Trailing 12 months recurring revenue was down 10% on a like-for-like basis over last year, as certain projects typically performance through the recurring revenue model in our Utility and Nuclear Power operations. We have undertaken a defined scope backlog contracts in the period. Total revenue in both Utility and Nuclear Power operation, but nevertheless higher versus the same period last year and demonstrates the flexibility Aecon has in our contracting model to meet our clients' need. We remain of course very focused on the strong execution of our backlog, while ensuring we continue to build capacity and flexibility for further growth. Now referencing Slide 9 and 10, Aecon's balance sheet financial capacity and cash generation remain key advantages in our ability to grow in the coming years, both in Canada and on select international projects. Turning to our outlook on Slide 11. Aecon's strong program of work as well as new opportunities support an expectation of like-for-like revenue and adjusted EBITDA growth in 2019 and in 2020. In the Construction segment, bidding activity is expected to be solid during the remainder of 2019, although new awards are not likely to match the record level of new awards achieved in 2018, with many of the Company's larger pursuits expected to be awarded in 2020. With strong and diverse backlog in hand, Aecon is focused on ensuring strong execution and selectively adding backlog through a disciplined bidding approach that supports continued like for like margin improvement in this segment. Our Concessions segment continues to partner with Aecon's Construction segment to focus on the significant number of P3 opportunities in Canada, and on a selected basis internationally. Thank you. And we will now turn the call over to analysts for questions.
Adam Borgatti: Rishi, can we please get the first analyst question in the queue.
Operator: [Operator Instructions] Your first question comes from the line of Jacob Bout with CIBC.
Jacob Bout: Question on the Ontario markets. So a number of peers on the equipment side and on design side, talking about a slowing in the Ontario market. Clearly your results are not indicating this, what are you seeing right now in Ontario?
Jean-Louis Servranckx: In Ontario, we do not see any slowing pass for the bidding activity, neither for the actual construction, especially in infrastructure which is Aecon's business. So we do not have the same view.
Jacob Bout: Maybe my second question here. So with SNC sitting in the lumpsum turnkey business, how does this change the Canadian construction industry? And is this a positive for one rates for you?
Jean-Louis Servranckx: It's difficult to say if it is negative or positive. We have taken good note about SNC position. Frankly speaking, I mean we are working on four projects with SNC, two are in the nuclear industry. Those are the refurbishments in Darlington and Bruce and SNC has decided to go along with this project, we have no particular problem with this project, they are on time and on budget. We are also working on two urban transportation projects with them, the REM in Montreal and Eglinton in Ontario. Those two projects also developed quite well, as they are on schedule and on budget. So what can we add on this? In Aecon, we are builders. And we are extremely focused on our clients, on our people, on our projects. It means that we work extremely hard on how to better integrate, design and construction within our projects. We work extremely hard on how to optimize our contract management, we work extremely hard on how to gain better control on our schedules of work on those complex projects, and how to improve our cost control and cash management within the life of these projects. It means that we are focused and it's our job. In addition, Aecon as a particularity, it's capacity to have boots on the ground. I mean, we are not dependent on the subcontracting industry that may overheat during periods. We have our people, we have our superintendents, we have our workforce. And it is, for us, extremely important on those projects. This is what I can say at this stage.
Jacob Bout: Last question just on labor availability. I mean, seems like the pipeline is - you have a very strong pipeline, I know you commented about $30 plus billion in project pursuits. Will that be a headwind for you on a go-forward basis?
Jean-Louis Servranckx: I think, as of today we have no problem with our capacity. As you may see our backlog is well equilibrated between East and West, between industrial, civil and urban transportation. And so far we do not expect problems at this stage.
Operator: Your next question is from Yuri Lynk with Canaccord Genuity.
Yuri Lynk: Just trying to get a handle on how we should be thinking about the back half of 2019. Clearly, Q3 of last year is a very tough comp with Line 3 was a quick book and burn project in there, and then in Q4 you had some success fees. So maybe just broadly talk about how the seasonality of the business might have changed a bit now that your backlog is completely different than it was a little while ago? And do you feel that most of the increase in EBITDA you expected for this year, most of that - did that occur in the first half?
David Smales: Yes, I think your comments are all, say you agree in terms of our profile year-over-year. I mean, in addition to the pipeline work we were doing in the second half of last year, that was a fair amount of volume in a fairly short period of time. We had additional nuclear work on the Darlington side over and above the ongoing long-term refurbishment project. We had a number of other projects on that side in the second half of last year, that won't be in the second half of this year. And if you think about the timing of our backlog build on the civil side with a lot of these large multi-year infrastructure projects including P3, so a lot of that was happening early in 2018. So we have those projects in the second half of last year and we also have them in the second half of this year. And a couple of others, in addition like Finch and Gordie Howe that only got going more recently. So there's some puts and takes. But overall, the first half of this year benefited from a lot of those new projects. Whereas the second half will be, in terms of profile, much, much more similar to the second half of last year.
Yuri Lynk: That's fair. I think the Coastal GasLink project was supposed to commence around this time. Any update on that project?
Jean-Louis Servranckx: Yes, Yuri. We have begun the preparatory works. You know that we have been awarded two spread on this Coastal gas line. And the works are perfectly in line with what was expected.
Yuri Lynk: Okay, one last one from me. I thought bookings were pretty strong in a quarter that was kind of lacking any big contract awards. Anything you can call out to provide some color on the nature of those new awards in the backlog?
David Smales: There was one significant announcement in Q2, Yuri, right at the very start of the quarter when we were awarded the Highway 401 project in Ontario. So that was a $640 million project, of which we are 50%. So that was the one bigger item in the quarter. And then the rest are kind of small and medium projects, kind of normal, kind of turnover projects that we would expect in the quarter.
Operator: Your next question from the line of Frederic Bastien with Raymond James.
Frederic Bastien: My question relates to the Bermuda Airport. Can you tell us if we're at the peak of construction there or …? I'm just wondering where, at which stage we are with respect to the redevelopment?
Jean-Louis Servranckx: I mean, at the momentum on the Bermudan Airport, we are focused on finalizing the construction of the new terminals. That should happen in the middle of the year 2020. And subsequently to shift the operation from the old airport to the new airport. This is our focus at the moment. Then we will ramp up operation in the new airport and we will decide what will be the next steps after this ramping up.
David Smales: And I think in terms of revenue profile, as we move towards the tail end of construction, we will through the second half of this year, will be focusing more on commissioning and finalization. So the revenue profile will start to slow down a little in the second half of this year and through the second quarter of next year will be when it really starts to kind of tail off the more significant.
Frederic Bastien: My other question relates to the Edmonton Valley Line, for which you've been shortlisted. But the other two consortiums that have also been shortlisted have actually stepped down. Obviously, SNC being one of them. But wondering if you could give us sort of an update on that particular projector bid?
Jean-Louis Servranckx: You have the most recent news from yesterday. Yes, we have been shortlisted. Yes, the owner, has announced that the two other shortlisted participants have decided to pull out. So we are waiting from our owner about the next steps of the process. And we will follow this pursuit accordingly.
Frederic Bastien: Okay. But no indication so far as to what they have in mind?
Jean-Louis Servranckx: No, no indication regarding either sole source procurements or coming back to pre-qualification process.
Operator: Your next comes from the line of Michael Tupholme with TD Securities.
Michael Tupholme: Wonder if you can talk a little bit more about your 2020 outlook commentary that you included in the MD&A? And specifically, just wondering about the year-over-year revenue growth you expect to deliver next year. To what extent is that underpinned by the work you already have in backlog and what I'd call sort of normal course project wins versus having to be successful in winning certain large, new large projects that you're pursuing?
David Smales: So in terms of 2020, I'll call out a few of the specific projects, kind of underpin expectation of revenue growth. I mean, more broadly, if you look at our backlog profile that we just planned at the end of Q2, you will see that our work off in the next kind of 12 months and 13 to 24 months is considerably higher than it was at this time a year ago. So the backlog profile kind of speaks to the work period between now and the end of next year, and you can see higher work off in those periods from backlog. So the things that are contributing to that would be Bruce, for example, where the refurbishment of the first reactor starts up in 2020. We have number of pipeline, some pipeline awards already and then a number of other pipeline opportunities that we expect to be working on in 2020. We'll have a full year at the Gardiner project and a full year of the 401 projects. So they will both contribute a good growth in 2020. And then there is also, we've said we expect the big pursuits, we have right now to be more kind of 2020 awards in 2019. Some of those should have an impact on revenue in 2020, assuming we win our fair share of those pursuits. So it's a bit of a combination, but even without any big awards, we have the backlog that we feel supports that expectation.
Michael Tupholme: And then related to that, can you talk about the margin profile of the backlog and to what extent you expect that to be a contributing factor in terms of driving improved year-over-year EBITDA next year versus simply being a function of the higher revenue driving EBITDA higher?
David Smales: Yes so I think we still expect improvement in margin. I think we've seen over a period of time now, we're moving in the right direction. We still think it has some positive momentum, really from - the mix of work and some of the things I talked about the kick in 2020, certainly positive from a mix perspective, when we look at margin. And then just from the general bidding environment and the amount of work that is out there in terms of people's backlogs hours and those and the strength of the pipeline are feeling these margins continue to move up and that's certainly our focus is where bidding pursuits.
Michael Tupholme: And then lastly, there was some commentary on the Coastal GasLink earlier in the call, but wondering if you can also talk about Trans Mountain and the opportunity for Aecon there?
Jean-Louis Servranckx: We have been awarded three spread with Trans Mountain you are aware of the recent development. So we are just expecting in the next few weeks a limited notice to proceed on our first spreads. So we are getting ready for this.
Michael Tupholme: And the timing that you would expect Jean-Louis would be for work to commence, at what point this year?
Jean-Louis Servranckx: Work to commence middle Q3, 2019 if everything goes as we have been told a few days ago.
Operator: Your next question in the line of Derek Spronck with RBC.
Derek Spronck: Just on the working capital. We're starting to see a bit of a reversal in the first part of the year versus the last two years where it's been a pretty big positive build. Should we continue to expect continued reversal of working capital on the back half of the year and into 2020 or how should we be thinking about that?
David Smales: Yes, so the working capital in 2019 is kind of following our normal seasonality, last year in particular, but also a little bit the year before. It was distorted a little bit by the fact that was a period where we were mobilizing on two or three very large projects, where the funding model is to receive significant advance payments. So they kind of distorted the working capital profile a little bit, and you would have seen the JV cash that we report spike on the back of that. And so that was all within those large joint ventures. This year without, a similar profile in terms of mobilizing on big new joint ventures the seasonality is more typical which is that as we ramp up through the busy season in Q2 and through Q3. We have a built in working capital and that typically unwinds in the kind of - part of Q4 and through Q1. So, we expect that profile this year without the distortion of the significant JV cash coming in.
Derek Spronck: Just moving on to the Bermuda Airport, and any progress or any update around replicating that model into other potential Caribbean locations?
Jean-Louis Servranckx: Yes, I mean, it would be quite a good fit, we have quite a good knowledge of the industry of airport, construction as well as a concession. So as we have been telling you we have created a small business development team, which has begun to work on this future projects. But yes, if we could replicate what we are doing in Bermuda, we will do it.
Derek Spronck: And the sort of support of the Canadian government as well?
Jean-Louis Servranckx: I mean, if we can have the support of the Canadian government, we are quite sure with working of the scheme, and of course we will take it.
Derek Spronck: But no major progress to-date to report - as though on that front, right?
Jean-Louis Servranckx: No special major progress, we are working on it.
Derek Spronck: And just in terms of their Bermuda Airport as you're coming closer to completion on the construction side, would you say that is - by and large has met or exceeded expectations. And maybe lastly, before I turn over, maybe you could talk a little bit about just some of the general airport trends that you're seeing there.
David Smales: So I would say from a construction perspective, we're very happy with how that project has gone to date. And I think as Jean-Louis referenced earlier, we're still very targeted on opening the new terminal midway through next year. So that's very much on time and on budget and a very successful construction project to date. On the Concession side, we had a very conservative model going in, passenger traffic and ancillary revenues have performed well. We've done a lot to improve the existing terminal, while we're building the new terminal, and I think that has been positive in terms of ancillary revenues. And then, I think from a traffic perspective, the numbers we've been disclosing in our Investor deck show a positive trend. A little bit of a moderation in the last quarter or so, with some flights kind of moving around, which is fairly typical, but we still think that the long-term trend is moving in the right direction. So from a concession perspective, yeah it's performing in line with expectations for sure.
Operator: Your next question from the line of [indiscernible] with Desjardins Capital Markets.
Unidentified Analyst: So earlier in 2019, you did lots of preparation work to ramp-up on key infrastructure projects such as the REM the Finch West LRT and Gardiner. So I was wondering if you could provide an update on these - the progress made with these key contracts please?
Jean-Louis Servranckx: Yes, it's true that on those major projects, usually the first year is dedicated to the design. So for example in Finch we have just finalized the design and we’ll begin to work during this summer. It is the same thing but with a few months more for Gordie Howe. I could say that we are now around 60% of design competition, and we are getting ready for the first preparatory works. REM is more advanced. It's a fast-track program, and we will have strong summer 2019 in terms of works executed. So, all of those major projects today are on time and on budget. We do not have special problems with it.
Unidentified Analyst: So on the REM side is everything is going quite good with the activities, so everything on budget, like you said?
Jean-Louis Servranckx: Yes, probably as you can hear in the streets of Montreal, because of the works we are doing everywhere, the citizens are probably not very happy. But we are very happy with the pace of the work. It goes perfectly at the schedule and we are very happy with the REM progress.
Operator: Your next question on line of Chris Murray from AltaCorp Capital.
Chris Murray: Dave I want to go back to your comment about seasonality and I'm just trying to make sure I understand this correctly. So Q2, of course, significantly better than I think anyone was expecting. Part of that I think driven maybe by the mix of projects where you're able to avoid some of the normal seasonal weather issues. But as we go into 2020, should we be thinking that the pattern persist, as we go into that year or some of these contracts call it, some of the infrastructure stuff we’re working underground. Once you continue at a more normalized pace or you called out a couple that maybe things like 401 or the Gardiner project where you may have some more weather seasonal issues that would be thinking about?
David Smales: Yes I mean I certainly think the moderation of seasonality that we've seen to some extent, will be the same in 2020. All of the projects we have underway right now in terms of the major projects will be continuing through 2020. So that the moderation as they bring through Q1 and Q2 will still be there. I mean Q3 and Q4 will still be the strongest quarters no doubt about it but certainly - the nuclear work continues year end, pipeline work tends to continue year end. So yes, projects - some of the projects [indiscernible] and things like that can have an impact, but there's always a few of those. So I think what you've seen this year, what you've seen so far this year and what we talked about in terms of expectations for the second half. I don't see that changing that much next year in terms of that profile.
Chris Murray: And then maybe I don't know who wants to take this one, but one of the pieces of feedback particularly after S&C has announced that they're moving away from fixed price contracting. And we're seeing some issues with others U.S. contractors and some Canadian contractors is, about the concern around fixed price contract and risk management, which is really kind of impacted a lot of players in the industry. I guess how do you address investor concerns about your ability to manage construction risk, you look at your backlog about 60% is fixed price contract. But how do you think that you would describe Aecon is different than some of the other peers it seem to have run themselves into some issues?
Jean-Louis Servranckx: Yes as I have already told, I mean at the beginning of this conference, in Aecon we are builders. So it's our job, we are extremely focused on this job. We are extremely focused on their execution. And with the backlog we - have a very strong bidding discipline. So it's one part of - the answer. The second part, maybe to say that, it's not as easy to say fixed price is bad, and the unit price is good. I mean you have very good fixed price job, and you can have poor unit price job. So in addition, in those major projects, we embedded in the selling price, more contingency to take care about the particularity of the contracts and more margin. The third part of my answer is also to note that although the term I mean use for those contract is fixed and lump sum. We are extremely cautious in the negotiation of our contract before being awarded, especially on the definition of the release even that can open compensation in case they happen during the course of execution of our contracts. It's a very important point, we take a lot of care about defining them. And this is why we are pursuing those activities, and this is why we are serious about it.
Operator: And your next question on line of Maxim Sytchev with National Bank Financial.
Maxim Sytchev: It's been a while, I guess since we've spoken about mining. I'm just wondering right now with iron ore pricing and gold obviously rallying. If business development is getting a bit easier for you guys, anything on that horizon there?
Jean-Louis Servranckx: We are working on it, we have teams I mean working - and looking for any future growth opportunity. I mean, it may be project internationally, its maybe tuck-in acquisition, it maybe acquisition in major markets. We have the capacity to do it and with our backlog, we can be selective. We are working on it definitely.
Maxim Sytchev: And is there any update on the K+S situation?
David Smales: No nothing to report Max, it’s in a legal process now that will take some time. And it's just proceeding through that process, but no update at this date.
Maxim Sytchev: Okay. And Jean just last question, a couple of quarters ago, I guess, you started to mention about doing some business development in the U.S. and was wondering if your thought process has evolved around that market specifically and maybe timing, how you guys are thinking about that?
Jean-Louis Servranckx: There is nothing new to say at this stage. Our eyes and our ears are opened, but so far, I mean no news, we are studying a few opportunities and if one can sit perfectly with Aecon with what we are looking for, we would be ready to make it.
Operator: Your next question on line of Neil Linsdell with Industrial Alliance. Neil, your line is open.
Neil Linsdell: Sorry congratulations on the quarter guys. Just wanted to talk about the business development team that you're talking about for the opportunities with airports and you mentioned in the Caribbean area. Just the process that they go across is it really just looking for governments or projects where they've already decided to do that or do you go out to make proposals as far as look what we can do as far as improving your airport. How active or passive is that group?
Jean-Louis Servranckx: We are active on both sides. I mean we can answer to request for proposal from governmental entities or airport administration. But we are also very active trying to replicate the Bermudan model to be able to propose to some airports authorities, what we call private initiative and to be able to discuss with them and to prove to them the validity of the model we have experienced in Bermuda. So both sides are open and active.
Neil Linsdell: Any insight, as to what kind of timeline that is, is it one year conversation typically three year, five year?
Jean-Louis Servranckx: I think it's not very useful I mean, to speak about timeline on this and we working on it. When we find the good opportunities we'll put the pressure. Is it may be a few years I mean, I'm not worried about it. We just want to go for the good opportunities.
Neil Linsdell: Yes no, of course - and geographically is it still in the Caribbean area that you're looking at or focused on or are there other areas in the world. That you think are or you're focusing on now?
Jean-Louis Servranckx: Yeah I mean in terms of opportunities, we just consider that for the airport industry, I mean Caribbean is a good playground, because those are island and the airports, is a center of any economic activity. So, we are targeting Caribbean, and we may expand also to South America depending on the opportunity we can find there.
Neil Linsdell: Right [indiscernible] and we've talked about your opportunities going into the U.S. market. Is there any change or any opportunity to get into other areas of the world outside North America in any kind of significant way or does it really just makes us to stay more closer to Canada?
Jean-Louis Servranckx: I think it makes sense to get closer to Canada. I mean, as you say, we are having a look at the U.S. market and that's it for the moment.
Operator: Your final question comes from the line of Ben Jekic with GMP Securities.
Ben Jekic: Yes, good morning. Just one quick question with regards to S&C and exit from the fixed price contracts on the construction side. How should we, should we be thinking about that as creating opportunity of any significance and how soon could we start potentially modeling that?
Jean-Louis Servranckx: So I think I've given most of the answer, I mean in my precedent but what we can say today is that we have two common projects in infrastructure which are Eglinton and REM and we are executing those job in a very robust and strong joint venture with or without S&C. Just in Eglinton, I mean we are with the Dragados the world leader of these kind of project Eglinton a very strong company around the Toronto, ourselves in REM, I mean we are also with Dragados, we are with [indiscernible] we are with EVC. So, our consortiums are quite strong. So we are not that much worried I would say. We are not pursuing it common project at this stage with S&C. And we will just see with our clients, I mean on the RFP to go what course of action that we'll decide to take.
Operator: And there are no other questions at this time.
Adam Borgatti: Thanks everybody for joining us this morning. If there are follow-up questions, we'd be happy to take them, and with that we'll wrap up.
Operator: This concludes today's conference call. You may now disconnect at this time.